Cristina Perea Sáenz de Buruaga: Good morning, ladies and gentlemen, and thank you for joining our Q3 '21 results presentation. Before we start, I would like to draw your attention to our forward-looking statement in Page 2. And with this, let me hand over to our CEO, Andreas Nauen. Andreas?
Andreas Nauen: Okay. Good morning, and thank you for joining the call today. As you know, we presented the preliminary results for the third quarter and the updated guidance of fiscal year '21 already on July 14. Today, we will present the full results for Siemens Gamesa for that period and, of course, also for the first 9 months of fiscal year '21.
Beatriz Puente : Thank you, Andreas. Good morning, everyone, and thank you for joining our Q3 results today. On Page 16, we have the summary of the group's financial performance on the third quarter that, as you see, are in line with the pre-announcement that we did on July 14. Revenues for the first 9 months reached EUR 7.3 billion, up 11% year-on-year, with EUR 2.7 billion in the third quarter. Also roughly, the increase is 12% versus last quarter. Revenue growth has been supported by both Offshore and Service, with Onshore revenues picking up on Q3. We will go on more detail on next slide. Moving to profitability, the 9 months EBIT pre-PPA and integration and restructuring costs amounted to EUR 81 million, up EUR 345 million from -- compared with the 9 months last year. EBIT margin of 1.1% of our revenue. And with the third quarter, as you have seen and we announced, negative EBIT of minus EUR 151 million. The third quarter and the 9 months profitability has been heavily impacted by a provision that we allocate for the onerous contract, mainly in Brazil, amounted to EUR 229 million. This provision, as we explained in the pre-release communication, reflects mainly 2 impacts that has hit our profitability on our WTG order backlog. That is mainly related to the longer time and higher ramp-up cost that we have for the 5.X, as I said, especially in Brazil, and also the sharp increase that we have seen of raw material prices.
Andreas Nauen: Yes. Thank you, Beatriz. And if we go to Page 22, we would like to share with you again the strong potential of wind energy in the coming years, and we believe that we are very well positioned to benefit from that steady market growth. As we can see, of course, 2020, with 116 gigawatts, was a peak year, mainly driven by the Chinese and the U.S. markets. And the years '21 to '24 will be relatively stable if you look at the total installations. Nevertheless, there's, of course, the underlying growth in the Offshore market, very important for us. And then you can see that from '25 onwards, the market really excels. The growth of the global installations will resume in 2024 and 2025, and we will maintain that trend and even speed up that trend during the second half of the decade. Offshore installations will grow -- will go through a significant increase from 2025, and we will reach 20 gigawatts or even close to 40 gigawatts by 2030. I would like to close off on Page 23. And as indicated earlier today and during the presentation of the preliminary results 2 weeks ago, our new revenue and EBIT guidance reflects the impact of provisions for onerous projects. Also, Beatriz mentioned that in her part. These projects have, of course, been affected by the well-known raw material price increases and the increased estimates for the ramp-up costs for the 5.X, especially for a number of Brazilian projects. The impact of these elements has been exacerbated by the pandemic, especially in Brazil, where the company faces supply chain shortfalls and execution-related bottlenecks. And also, as Beatriz mentioned also, Q4 will be impacted by the ramp-up and switchover of the Offshore production by increased procurement costs, and the normalization of the profitability in Service still always in the range where we expect it to be. As a result, our revenue for the fiscal year is expected to be at the low end of the range communicated in the Q2 results and our EBIT margin now in the range between minus 1% and 0%, as I also highlighted at the beginning. I believe we have taken a lot of necessary actions, including mechanisms to protect from the volatility of raw material prices, enhanced procurement strategies and also additional efforts and cost-out programs and new technical features to compensate for this effect. And also the LEAP program, which we started about a year ago, is continuously delivering positive results with the aim to achieve profitability in the Onshore market again. We believe that these actions will let us reach our new guidance and also prepare for a better performance next year. We're also confident that we've taken all the necessary steps to get ready and benefit from the potential growth of renewables globally in the coming years. Many thanks for your attention, and now we would like to take your questions.
Operator:  The first question comes from Arsalan Obaidullah from Deutsche Bank.
Arsalan Obaidullah: Just quickly, I just wanted to understand whether you're seeing, in terms of in the near term, sort of any negative demand Onshore turbines coming from the rise of either raw material costs and accordingly turbine prices as well as from the regulatory uncertainties in the U.S. Are you seeing anything there in the near term?
Andreas Nauen : Thank you for the question. And of course, it's obvious that this question is in the room, but we don't see that at the moment. Our order entry in Onshore is exactly as we expect it to be. Since about a year ago, it fits to our plans. And even though here and there, of course, negotiations take a little longer because we raise prices, we pass on raw material, and I think all industry is doing that at the moment, but generally, we don't see that market slowing down. I think all the forecasts that we see and also that the analysts, the market experts like Wood Mackenzie, don't show that.
Operator: The next question comes from Vivek Midha from Citi.
Vivek Midha: So again, on pricing, I just wanted to ask, you commented that you saw underlying like-for-like price increases in Q3. Could you maybe quantify that, if possible?
Andreas Nauen: What we -- thanks, Vivek, for the question. Yes, we keep on raising prices, and it is driven by 2 effects. First, of course, the raw material effect that we already, as we explained in Q2, that we need to pass on because, reasonably, we cannot compensate it for that -- cannot compensate for that. So at the moment, we raised prices, I would say, in average in a range between 3% to 5% in Onshore. And I think we assume that is where most of your question targets.
Vivek Midha : Got it. That's very helpful. And just to be clear, so you see that as enough -- do you see that is enough to maintain benchmark gross margin?
Andreas Nauen : But of course, it goes hand in hand, and it’s not the only measure. We raise prices, but at the same time, we introduce indexation clauses or raw material price clauses in the contracts that also prevent that any further volatility and that hits us on top of the price increase. So it’s a combination of both.
Operator: The next question comes from Akash Gupta from JPMorgan.
Akash Gupta : If I start with a follow-up on ASP, how does this indexation mechanism work when it comes to the headline number? I mean, clearly, your ASP of EUR 0.63 million, you were all expecting it to pick up sequentially, but it came in flat. And I'm just wondering if you can explain if this is partly driven by indexation where your realized ASP on sales could be higher than what you are booking and order entering. And then the second question I have is on Offshore margins for the full year. Previously, you have been in the range of 8% to 10%. Can you indicate how well you are likely to finish this year in this minus 1% to 0% group guidance?
Andreas Nauen: Yes. Thank you, Akash. First, this is, of course, very complicated, and I think we all know that to translate the current activities then into the ASP because the ASP is influenced by so many factors, let it be size of the turbine, regional distribution, scope. And what we clearly do, and that goes in line with what I said earlier, we currently pass through these raw material clauses, and they are different in nature. For example, one pass-through clause is on tower steel. A lot of steel goes into every tower. We have a starting point for that escalation, and then we lock that in only at either when we sign the contract or when we order the tower steel. So there are even different methods, depending on the time frame of the project. But it doesn't translate at the moment already into an ASP as we would expect it. Nevertheless, I think I can clearly confirm what I said earlier, we pass that on. We include that now in every contract. We already did that in Offshore since a long time. And we introduced that when we saw the raw material prices increasing earlier this year and we started with that in February, March. But later, since April, May, we have that now in every contract. It simply does not translate yet into an ASP due to all the other effects that you have there. Sorry. And then I didn't fully understand your second question. Maybe, Beatriz, if you...
Beatriz Puente: Yes. Yes, thank you. Regarding your second question, if I understood it, it’s related to the Offshore profitability throughout the year. And despite we are going to have, as we said, the change of the platform on Q4, and of course, that will trigger profitability down, the number that you said for Offshore sounds reasonable to us. It’s a very strong year for Offshore.
Operator: The next question comes from Deepa Venkateswaran from Bernstein.
Deepa Venkateswaran : I wanted to focus my question on the 5.X. So Andreas, if you can basically maybe tell us what is the time line. I mean, where are you on the ramp-up? And what are the milestones we should look forward to, for example, achieving serial production, et cetera? Because I think you highlighted that this 2.7 gigawatts of orders, 1 gigawatt has been taken under the onerous contract. So just for the health of the remaining contract so we can have some visibility, I was wondering if you can share some tangible details on your 5.X turnaround.
Andreas Nauen: I'm happy to do so. I would like to split that answer and also the ramp-up into maybe 3 major activities. I start with the technical track that is ongoing. We have installed the prototype, and the prototype will start operating in the next few weeks. We have installed the 155 and the 170 prototype. And this is then the final step of validating the technical side of that turbine. We are, of course, confident that we will get confirmed our expectations of the 5.X. But nevertheless, that's always an important milestone, and we have to see how that goes. It also depends on the wind conditions, of the prototype size and so on. So this is the first track, the prototype and technical verification. Then with regards to the serial ramp-up that you were looking at or asking for, we have actually 2 separate ramp-up activities at the moment. And one is for the, let's call it, the European version of the 5.X where we have signed a number of projects in Scandinavia, where we are already producing the first 0 series and then the serial machines that go into these projects. We've started that production, and we will start shipping these turbines later this year. And then we have the separate ramp-up. That is the one where most of the effect currently comes from. That's the Brazilian ramp-up because we decided at a very early stage to go in parallel into both markets. And here, the activities are now much better under control despite of the profit impact that we had because we are not tracking extremely close all the details of that ramp up, let it be contracts with sub-suppliers, readiness of the factory, readiness of the bill of material and so on. And we will start serial production of that machine after the European ones. So all the learnings that -- from the European serial production start-up, they can translate it into the Brazilian one. So these are the 3 major activities that are going on in that space.
Deepa Venkateswaran: If I get it right, you're not -- you've not tested the prototype, but you already started ramp-up in Scandinavia? Is that how I interpret your second statement?
Andreas Nauen: When you say ramp-up, yes, it's correct, the prototype will start operating soon. But at the same time, we already started to produce the first machine, which is not completely unusual that you do the final technical validation. But nevertheless, and I think I highlighted that also during the preliminary results, we have an extremely ambitious time schedule with regards to the 5.X in general, and therefore, we have these activities going on in parallel.
Deepa Venkateswaran: Okay. So I suppose the update in November will give us a clearer picture on where you are on 5.X.
Andreas Nauen: Definitely, because then we will be further on the industrial ramp-up as well as on the technical.
Operator: The next question comes from Supriya Subramanian from UBS.
Supriya Subramanian: I have a quick and a little bit more on near term related to the charges taken. And if I do the math on what's implied on in your guidance for the full year, it seems that we expect about 4%, 4.5% of negative margin in the fourth quarter as well, which would imply getting some further charges being booked in the fourth quarter. So I just wanted to get your thoughts on, one, is that sort of correct? And do you expect -- if, let's say, the revaluation of the backlog, the exercise on the revaluation of the backlog complete and then beyond the fourth quarter, we should not expect any further charges? Or what are the risks that could lead to further charges being taken maybe into 2022 as well?
Beatriz Puente: Thank you for your question. Regarding the fourth quarter, there are 2 impacts that I highlight that we said before. Despite the very strong performance of our Service and Offshore, the profitability of both are really front-loaded throughout the year, and that’s also impacting the Q4. Also, when we announced the preliminary results, we really highlight the impact of 2 things. Of course, we have the onerous provision trigger on Q3, but also the impact of the raw materials throughout the year, of course, has also the impact on Q1, just for the volume of ‘21 that we have foreseen in that implied guidance. If you ask me, have we considered additional onerous provision? As of today, we’ll run the estimates – sorry, the onerous provision based on our best estimate in each of the periods. And of course, we have covered some volatility that still is in the market. Regarding the risk for the coming years, as we highlighted, of course, it’s our role to strengthen the execution capabilities with, of course, strengthen the processes, the quality of our resources and also to mitigate the risks that are, as we said so, other trades are going to be installed on ‘22 and ‘23. So of course, by nature and being the 5.X prototype, there are some risks that are open. And that’s the reason, as we highlighted, we have strengthened processes, resources and also, on the procurement side, our strategy with new indexation clauses, really mainly relating on the Onshore contracts to mitigate that risk on inflation and volatility of the raw materials. We also have strengthened kind of the back-to-back of – on the supply chain with our suppliers to make sure that we mitigate, of course, risk. So – and also on the commercial side and to strengthen the link between procurement and, of course, our salespeople. So that’s what we are doing to try to mitigate any further impact on 2022.
Operator: The next question comes from Sean McLoughlin from HSBC.
Sean McLoughlin: I wanted to move into procurement. You're talking about an enhanced procurement strategy. So could you just give us a little bit of detail about what you're doing differently? And also, how much of procurement you've already done for your 2022 deliveries?
Beatriz Puente: Yes. The figures I'm saying was the last one, but of course, it's the current view that we have. I mean the current status that we have is roughly -- we have over 75% of the volume on  hedges on copper. And the main impact that we have is mainly steel, and we have covered roughly 50% of the volume is already secure. The strategy that I will follow in general is that  prices are secured really ahead -- roughly ahead of the start of the year. Currently, due to the peak prices that we have, the group is avoiding to enter in long-term supply agreements. But at the same time, of course, we are trying to mitigate that with increased alignment and close cooperation with our strategic suppliers for the back-to-back coverage, also looking for multiple sources, exploring also new materials that will substitute some of the raw materials that we have seen high increase on price. Also, on the commercial side, as Andreas has mentioned, we are included mainly on the Onshore contract mitigation clauses, mainly related to a steel tower that we're not maybe concerned in the past to limit, of course, the risk for increasing volatile markets and the ongoing trade tensions that we have. And as I said, on the steel, we have already covered 50% of the volume. We are working with the steel mills to secure volume and pricing with our key suppliers, and then the copper is nearly done. On the -- also logistics is also another challenge for the industry. And also, of course, we are working very hard on that front, closely monitoring the market, getting additional agreements with suppliers, also analyzing long-term suppliers and, of course, leveraging on the partnership that we have with Siemens Energy to improve also our logistics capabilities. And so the combination of all that measures are the ones that has been put in place to mitigate the risk that, of course, we face as a sector.
Sean McLoughlin : Beatriz, that's super helpful. Can I just ask around Offshore? Because I think you've previously said that procurement was less of an issue with Offshore. You've had, let's say, indexation for much longer in Offshore. But how should we think about procurement risks for Offshore for '22 and '23 given the scale of input cost increases?
Beatriz Puente: As we said, of course, because of the nature of the projects, those steel clauses were already in place. What we are trying to improve is then the clause on that coverage. Because to try to mitigate from the notice to proceed to, of course, securing the volume on steel and, again, really no timing with no coverage. So that’s the back to back. Also very important for any single new project that has been – always been analyzed by the group is very important. Apart from having, of course, the proposal on the projects of the SBAs of those indexation clauses, as Andreas highlighted, we have strengthened the mechanism to make sure that whenever we analyze the profitability of a new project, we take into account all the new update cost in terms of where do we stand, as you ask me, on the steel coverage and prices, where do we stand on the copper to avoid as well double coverage because, of course, you can – if we have already covered or hedged that volume, there is no need for that extra mitigation. So all in is now that process in place. We have redacted the policies within the company and, as I said, strengthened the mechanism to make sure that all the new projects that we will analyze and if we approve those, it’s because the implied profitability take into account because others or we are half the back-to-back. So we are looking for the back-to-back with the client. We are looking for the back-to-back with the supplier. And of course, making sure that on the cost side, all the estimates are run with very, very updated information.
Operator: The next question comes from Rajesh Singla from Societe Generale.
Rajesh Singla : So my question is on your average realized price in the Onshore business. If my calculations are correct, then the price is around EUR 0.55 million per megawatt in this quarter, which seems to be at all-time low level as compared to -- if I compare it with your order book price, which was around EUR 0.7 million per megawatt in your Onshore business. So why there is a big gap between your average realized price versus the order book price? I think it has been happening for many quarters. So just wanted to have a bit more understanding, like what's going on there?
Andreas Nauen: Thank you for the question, even though I have to admit it was a little hard to exactly follow your calculations. Because what we do, and that is always what we share with you as a main indicator, even if that indicator is influenced by so many factors, that the average selling price is stable. And in my earlier answer, I already tried to explain that we raised our current offerings in various ways at the moment. And at the same time, we're, of course, also working on additional measures, not only just simply raising prices or passing on raw material effects, but also additional technical measures like increased AEP and additional value add that we clearly can provide on quite a number of projects. And that surely doesn't exactly answer your question, but it hopefully answers what activities we are taking.
Rajesh Singla: A little bit. Basically, my question was on the average realized price, not on the average order price, but average realized price when you book on the sales. Your sales revenue by megawatt, what you sold during the quarter, basically in the revenue line. So that price -- there is a very big gap in the order book price and the realized price.
Andreas Nauen: Yes. That is the best explanation I can -- I bet you, no one come up with this. Clearly, it's also, again, the mix that we are currently installing. We still have a number of Indian projects of the 2 megawatts that I'm sure will influence that because we are realizing these projects at the moment, but I don't have a better explanation right now without having a chance to look at it -- into it deeper.
Rajesh Singla: Sure. I can -- I will send you an e-mail, so maybe you can have a look at it after the call. And...
Andreas Nauen: I think -- happy to, of course, respond. Cristina will also support that and to make sure that we really answer the question you asked. And sorry that I can't do that immediately.
Rajesh Singla: Sure. Sure, no problem. And another question would be on the Brazilian project. So you have booked a very large provision for these projects. So what kind of margin we can expect from these projects going into 2022, '23?
Beatriz Puente : The reason of the provision is, as we follow IAS 37, of course, is we have run on the profitability of calculation for those spreads. And that's why we have allocated that provision in Q3. Of course, our aim, as we said, as those projects are going to be installed on '22 and '23, so just to answer your question, those projects are loss-making. That's the reason of the onerous provision with the estimates that we have as of today. As we said so, what is important for us is that we have taken all the actions to mitigate the coming risk of those projects or the standing risk of those projects to be installed on '22 and '23 and are also working hard with the team for looking for opportunities to mitigate those risks. But as of today, those spreads in our books, as per we have the onerous provision, they stand at 0% in the margin.
Rajesh Singla: 0%, okay.
Operator: The next question comes from Mark Freshney from Crédit Suisse.
Mark Freshney : I have 2 questions. Firstly, to clarify on Q4, you made the comment in the call 2 weeks ago that without the provision, without the issue with the G 5.X, you would be at the bottom of the margin guidance range, the old one of 3% to 5%. So that would seem to imply that there's another charge related to G 5.X in Q4. Can you just confirm why the business would be loss-making in Q4? And secondly, I mean, regarding the 3-year plan that Gamesa laid out a year ago, clearly, you alluded on the call a couple of weeks ago to that plan potentially being pushed out a year. Clearly, the low profitability on G 5.X at Brazil, as the previous question alluded to, will be low in the next couple of years. Do we get a new 3-year plan at some point?
Andreas Nauen: Yes, Mark, thanks for both questions. First, let me try to answer your Q4 question. And you were asking whether we see additional charges. We always, and I think we did that already extensively also around Q2, we always said that the second half year would be impacted by a number of other effects like the changeover in Offshore that simply reduces the utilization in Offshore and, therefore, reduces the Offshore margin in the last quarter Also, we had, I think, excellent results in Service in the first half year that we cannot repeat. We mentioned that in the call, that normalization of the Service. And so the positive effect that we had in the first half year do not repeat themselves in the second half. And whether we expect additional charges, as Beatriz said, we, of course, did the calculation of the onerous loss contracts with all the knowledge that we have currently, and that is also the mechanism that you have to apply. You have to put in everything that you know into these charges, and therefore, they hit Q3. So the Q4 is impacted by other means. Then with regards to the 3-year plan, the success of – and the long-term profitability of Siemens Gamesa in total is, of course, heavily determined by Service and Offshore. And I think we continue to highlight we are on track in both areas. But of course, we need Onshore to turn around. That turnaround plan is now delayed. We had expected to be breakeven next year in ‘22, that we will not achieve anymore due to the effects that we now described extensively. But it remains, of course, our plan to turn that around. And we are currently working on the new 3-year plan. But with all the volatility that we currently see, whether it’s raw materials, whether that’s the 5.X ramp-up and other effects, I think it’s too early to already present that plan. We will, of course, as soon as we have one, we will do that in due course.
Operator: The next question comes from Fernando Lafuente from Alantra Equities.
Fernando Lafuente: Two quick ones for me, please. The first one, not sure if you could give us just a number, Beatriz, but I was wondering how -- what is the proportion of the sales that you have for next year, 2022, that have been already closed so that you have no margin to modify them to reflect the cost of the increasing cost of raw materials? And the second question is on the ramp-up again, both of the 5.X and the 11.X. I was -- it's more a qualitative question. I wanted to understand, when you say extra cost or higher costs, what are these deviations? What are the nature of the deviations for this -- in these ramp-ups?
Beatriz Puente: Thanks, Fernando. Regarding the first question, we can say, and that's very important, that we have a very strong backlog, and we have a very strong coverage of the sales of next year. I will highlight that as Offshore is nearly done, very important for us, of course. Onshore, we foresee that by the end of the year, will be close to 90%, 90-ish. And then Service, because of the nature of the business, we stand on roughly 70% roughly coverage because also, of course, we would rely on other revenues coming to strengthen the profitability of Service. All in, based on coverage of next year sales.
Fernando Lafuente: And sorry, Beatriz, a follow-up. So I understand that for Offshore, there is actually no risk of impact on the increase in raw materials, as I understand from your comments that they have these clauses or they are more indexed to the potential variations. Services, I understand that it's pretty much the same. And the impact would come from Onshore, right, of this potential increase in material?
Beatriz Puente: Yes, let me explain how we – of course, what – I mean we’re still running the estimates based, of course, on the open exposure that we have. Your estimate is quite right. But I would say that, of course, Offshore, what has been a standard in the industry is, of course, to cover half the coverage on the steel tower. And that’s fully covered, no impact on the backlog that we have. We are trying to mitigate all the impacts. That, of course, is in the nature of the business. They are not much related to the steel tower, but also working with the clients on other – coverage on other raw material impact. And also, of course, the logistics is very difficult to have the back-to-back. So that’s why I meant that we are working on other mechanisms to also mitigate that exposure. So we’ll be, of course, more exposure on the Onshore. But of the Offshore, because of the reason that I said, also there is an open exposure that is very much linked to the business. And that’s the reason for all the action plan that we’ve put in place.
Operator: The next question comes from Vivek Midha from Citi.
Vivek Midha : I know it's early in the year, you haven't given 2022 guidance. But based on what you're seeing this year, could you give us any comments as to how you see the absolute level of Onshore EBIT developing going into next year relative to this year, particularly taking out the provisions you got in Q3?
Andreas Nauen: Thank you, Vivek, for the question. But as I said that we expected that Onshore will turn around next year in light of the impact that we – in raw materials, the ramp-up and all the effects that we discussed now many times. That will be delayed, and we would not like to comment on the profitability of Onshore as a separate business for ‘22. We, of course, committed and convinced that Onshore is an integral part of SGRE. We need to make Onshore profitable, and we are working on numerous plans. And I believe also we made progress in many areas. Of course, this quarter is a severe setback. But on the other hand, we continue to work on that. I stress also that the LEAP program with huge productivity gains, unfortunately compensated by the effects that we now saw. But otherwise, we stay committed to Onshore. We also stay committed to the long-term vision of our business with a target margin of 8% to 10%. So overall, I believe we have a setback. But on the other hand, we have taken so many actions, including industry-wide actions, that we stay committed and confirm that.
Operator: The next question comes from Sebastian Growe from Commerzbank.
Sebastian Growe: It's more on a higher-level view. To be very honest, I'm still a bit puzzled with everything that we heard with the quarter 3 cost overrun and the onerous contracts. So I would be really interested in what you are changing with regard to the risk management in the firm and Onshore in particular, obviously. And I'm stressing this point that we have seen the cost overrun from Scandinavia last year, which came as a result of rather thin margins. We're accepting apparently too high risk. Now we are seeing these onerous contract provisions. I think overall, similar use, so about EUR 800 million revenues, eventually EUR 200 million, EUR 250 million of the cost overrun. And the root cause seems to be sort of the same. It's again thin margins, an ambitious ramp-up schedule comes on top, and that's what you stated yourself on the call around the pre-release. So while I understand the quotations really that those took place under the prior management, I'm quite frankly really puzzled that after the management changed mid and end 2020 that there hasn't been a proper review of any eventual project risks that are related to the Onshore business. So that's barely acceptable, to be honest. And I'll leave it there, and I'm really curious to hear your thoughts on that.
Andreas Nauen: Yes. Thank you, Sebastian, for the question. And of course, I understand your reaction. On the -- but nevertheless, I would like to highlight that clearly, we are much more careful in taking on projects. Of course, the current hit counters my argument, but we are much more stringent in reviewing projects. In Brazil, I think it's the combination of several effects that hit us there: the complex localization structure that you have to have in Brazil, the extremely fast development schedule we have for the 5.X and then raw material price hikes that came at the same time. And indeed, we did not catch that as we would have liked to do that. On the other hand, we also are currently going much more and much deeper and much more careful into each and every contract. And I get always -- well, last time, I got the question, and I'm sure this will come this time as well, why is your Onshore order entry not higher? Because we are much more careful, and we are also taking actions in various ways. I talked about price hikes and additional risk margin in all the projects. So I think we do a lot. And over time, I expect also that this pays off.
Sebastian Growe : As a quick follow-up to this one, can I just ask how we should think structurally about the Onshore business? So leaving really all the Wood Mackenzie  aside, but obviously, you're coming from an 8-gigawatt run rate. And it currently seems you are rather, I don't know, shrinking the business to about 6 gigawatts or so. So what is sort of the kind of comfort level to then have a sort of clean sheet and from there, we can eventually return to growth in that business?
Andreas Nauen: Yes. But that is what we already said last year in the Capital Market Day. We would not like to continue with what we did beforehand that we scale ourselves or volume ourselves out of the situation. We first need to stabilize the business. And unfortunately, the last quarter confirms that the further stabilization activities are needed. And from that point of view that we have a relatively stable or flat Onshore market for the next few years. We also, I think, take a country like India where we have a severe ramp-down. We completely changed our business model there. We introduced the new turbines. So we're also making progress in a number of areas of the Onshore turnaround, but that simply needs to continue and needs also to cover the complete Onshore business. And once we fully stabilize that, along the volumes that you also said, 6, 7 gigawatts per year, I think then we expect to be ready for the ramp-up that is expected after '24.
Sebastian Growe : Okay. It's going to be obviously a tough one, I think. Obviously, other competitors are catching up, and they are really on the fast track, obviously. So that's the case of the question at the end of the day, to what extent it's then wise to just rightsize and try to hope for the best that can come after. I see the point, but at the same time, I don't see the environment as very dynamic.
Andreas Nauen : Yes. But first, I hope it's not the plan. And we are clearly doing more than just hoping. We have the various plans in place, and it goes exactly along the structure that we described. We have to be even more careful in taking on contracts which we, I think, strengthened again. Now after we see this impact, we have to stabilize the 5.X. The 5.X will be our major contributor, and we reduced our complexity. We've reorganized Onshore exactly as we said. We are progressing with that. We are also adjusting our scale to a smaller scale to be ready for the ramp-up. I think we follow all of these plans as we started them about a year ago, and we need to see that they, of course, come to full fruition. But it's more than hope.
Cristina Perea Sáenz de Buruaga: Thank you, Andreas. Thank you, everybody. I think with this, we are going to conclude the call.
Beatriz Puente: Thank you very much for attending the call. And of course, happy to follow up with any questions that you may have. Thank you, everyone.